Operator: Hello and welcome to the Universal Technical Institute’s Second Quarter 2015 Conference Call. [Operator Instructions] As a reminder, today’s conference is being recorded. A replay of the call will be available for 60 days at www.uti.edu or through May 13, 2015 by dialing 412-317-0088 or 877-344-7529 and entering the passcode 10064029. At this time, I would like to turn the conference over to Mr. John Jenson, Vice President and Corporate Controller of Universal Technical Institute. Please go ahead, sir.
John Jenson: Hello and thanks for joining us. With me today are Kim McWaters, Chairman and CEO and Eugene Putnam, President and CFO. During today’s call, we will review the results of our second quarter and then we will take your questions. Before we begin, we must remind everyone that except for historical information, today’s call may contain forward-looking statements as defined by Section 21E of the Securities Exchange Act of 1934 and Section 27A of the amended Securities Act of 1933. I will refer you to today’s news release for UTI’s comments on that topic. The Safe Harbor statement in the release also applies to everything discussed during the conference call, including initial comments by management as well as answers to questions. During today’s call, we will make reference to EBITDA, which is a non-GAAP measure representing net income exclusive of interest, income taxes, depreciation and amortization. The schedule provided in the earnings release reconciles EBITDA to the nearest corresponding GAAP measure, net income. And now, I would like to turn the call over to Kim McWaters, our Chairman and Chief Executive.
Kim McWaters: Thank you, John. Hello to everyone on the call and thank you for joining us today. During the second quarter, our quality educational and student support programs, combined with the growing demand for well-trained technicians once again translated into more jobs, higher wages and more opportunities for our graduates to build rewarding careers. Our work to manage cost and improve operating efficiencies while rebuilding our student population continued to strengthen our bottom line. We are pleased that we are now beginning to see some positive traction with our marketing and admissions strategy and that in the month of March, our applications grew year-over-year for the first time in more than a year. While our new student starts remain behind last year as we expected given the previous quarter’s shortfall in applications, we continue to believe we are on track to see new student growth during the second half of the year as our inquiries and applications begin to grow and our show rates remained strong. Our strategy is aimed squarely at leveraging employer demand to enhance our student value proposition, to breakdown the barriers that stand between students and the UTI education and to rebuild our student population and ultimately the number of graduates who are trained and ready to go to work. We are clearly at a point where demand and competition for our graduates so far exceeds the supply of trained technicians that employers are increasingly willing to invest in our students and help pay for their education, their tools and even relocation expenses. To that end, we have launched a focused effort with our employers across the country to encourage their support for our students. Their response has been extremely positive. In fact, today, 8 of the 10 largest automotive dealer groups in the country, companies like Penske Auto Group with more than 170 U.S. dealers and Group One with more than 150 U.S. dealerships now offer comprehensive programs to help our graduates start their career and pay for their education in part or in full. As we continue to work with employers and they see the power of these programs and how they can help to fill the critical need for skilled technicians, we expect to see this kind of financial support for our students continue to grow. The difference we are seeing today from employers is that they are now increasingly willing to communicate directly with respective students and their families about the value of the UTI education, the job opportunities available, their earning potential and the return that they can expect to see on their investment in the UTI education. In the past, employers were talking to our students, weeks before they graduated. Now, they are talking with them months before they make the decision to come to school. We believe that hearing directly from potential employers, combined with their growing financial support, can help alleviate students’ ongoing affordability concerns and get them greater assurance that the risk of leading a low skill, low wage job to go back to school will be well worth it. The demand for technicians is going to continue to grow as more and more baby boomers retire and technology becomes increasingly more complex. In markets with strong and unmet demand from both students and employers, we are opening new campuses that offer greater convenience and access to our programs. Our next campus in Long Beach, California is on track and preliminary considerations and planning for additional new campuses in key markets is underway. At the same time, we are expanding our educational offerings through new industry partnerships like Roush Yates to add new programs that complement our core offerings and train students for fields where there is strong demand for their skills. Our new partnership with Roush Yates will yield a new CNC machining program that will be applicable to all kinds of industries from racing, to healthcare, to aerospace. In addition, Roush Yates will enhance our very popular Power & Performance courses in our automotive programs and offer strong marketing support with Doug Yates serving as the spokesperson for UTI and NASCAR Tech. This new industry partnership will give our students even more options for high-tech industry-specific training that prepares them to get good jobs and build successful careers. Demand for our graduates, along with our commitment to student outcomes, quality training programs and regulatory compliance set UTI apart from others and from the negative news and commentaries surrounding our sector. We are making the most of these differentiators and working to shift perceptions about private technical education and careers in the skill trades with encouraging results. So while the environment we operate in continues to be very challenging, there are things clearly in our favor. We are the leading provider at technician training for students seeking careers in automotive diesel, motorcycle, marine and collision repair. By a pretty significant margin, we are the leading supplier of entry level technicians for the transportation industry and have been for several decades. Why, because we partner with industry to ensure there is demand for what we do and that our training programs are developed to the specification of the industries that employ our graduates. We are grateful for the support of our industry partners and the employers who are helping our students pay for their education that they need to become gainfully employed as technicians. Last, on May 5, we will celebrate our 50th anniversary. I am very proud of what we have accomplished during the past 50 years and the true difference we have made for hundreds of thousands of students. I am proud that the difference we have made for the transportation industry and our country. But I am most proud of our people, our brand, our reputation, our strong student outcomes, and the success of our graduates are because of our talented committing and caring team members. They truly are a force for good. Thank you, team and happy 50th UTI. With that, let’s hear from Eugene, who will give us the review of the second quarter’s results.
Eugene Putnam: Thanks Kim. Our continued efforts to control costs resulted in an operating income of $2.4 million for the quarter, which is a significant improvement compared to an operating loss of $1.6 million in the same period last year. We began this quarter with approximately 1,000 fewer students than we had at this time, last year. Our show rate was up 500 basis points, but new student starts were down about 13%. The decline in new student starts was not quite as large as anticipated and was due to a lower volume of new student scheduled to start in the quarter. The combination of a lower beginning student population and lower newer student starts led to an overall decline in average student population of approximately 8.8%. The lower student populations offset somewhat by higher average revenue per student led to revenues of $91.2 million in the quarter, which were down 3.7% from last year. Average revenue per student was up from $6,500 to $6,800 per student. Tuition excluded $5.7 million related to our loan program compared to $6.6 million in the second quarter of last year. For the first half of 2015, revenues were approximately $187 million, down about 2.5% compared to $191.8 million for the same period last year. Tuition for the six months excluded $11.4 million this year related to our loan program compared to $12.8 million last year. Advertising expense was $11.7 million for the quarter, which was down from $12.4 million last year. As a percentage of revenue, advertising expense was 12.8% for the quarter compared to 13.1% for the same period last year. Our bad debt expense decreased $1.3 million for the quarter. During the three months ended March 31, we reversed approximately $1 million of bad debt reserve recorded in 2011 and 2012 for processing issues related to student funds received from a non-Title IV federal funding agency. Finally, we generated $7.8 million in EBITDA in Q2, which is compared to $4.2 million last year. And for the first half of 2015, EBITDA was $18.9 million compared to $13.1 million in the first half of 2014. Our second quarter net income was $600,000, or $0.02 per diluted share compared to a net loss of $1.6 million, or $0.07 per diluted share in the second quarter of last year. Year-to-date, net income is $3.6 million, or $0.15 per diluted share compared to $100,000, or $0.00 per diluted share last year. The provision for income taxes for the quarter was $1.6 million, or 74.7% of pre-tax income. And our provision for the first half of the year was $3.9 million, or 51.5% of pre-tax income. As we have disclosed before, the impact of non-cash adjustments to the deferred tax asset related to stock-based compensation continued this quarter and was approximately $700,000. It is likely we will continue to experience variability in income tax expense depending on the price of our common stock. Assuming our common stock price remains relatively consistent with last quarter’s average price, the impact of any adjustment to the deferred tax asset and related income tax expense for the year is expected to be in the range of $900,000 to $1.4 million. Looking at our balance sheet, we had cash, cash equivalents and investments of roughly $74.6 million at the end of the second quarter compared to $96.1 million last year. In the six months ended March 31, we generated cash from operations of $8.7 million and we continue to have no long-term debt on our balance sheet. During the quarter, we invested $12.5 million in fixed assets, which is up significantly from $2.5 million last year, primarily due to the purchase of the majority of the buildings and land for our Houston campus, whose lease was expiring and the construction of our new Long Beach campus. During the quarter, we opportunistically repurchased 748,000 shares at an average price of $8.15 per share for a total cost of $6.1 million and also returned $2.4 million to shareholders during the quarter through dividend payments. With that, I will turn it over to Kim for some details on our marketing and admissions efforts.
Kim McWaters: Thanks, Eugene. Let’s look at our key performance metrics for marketing and admissions and the work we are doing to build on some early momentum that we are seeing. Growth inquiries were down in the second quarter 13.4% year-over-year, reflecting the complex, competitive and certainly more costly environment. Given the increasing cost in advertising, we were careful where we invested our resources, testing and building confidence that there was an acceptable return on our investments. While the cost of certain advertising created some limitations on our ability to grow the volume of inquiries this quarter, we made good progress determining what types of advertising were worth the investment. During the quarter, we launched new advertising creative and tested different spot formats. We optimized our media mix and improved our website landing pages to better serve prospective students on mobile devices. Although marketing costs more and is less efficient in this environment now that we know more about what is working, an increased spend is warranted during the second half of the year. The increased spend will help us grow inquiries in applications this fiscal year and new student starts in fiscal ‘16. We now estimate that our advertising expense will be 13% of revenue during the second half of the year. Advertising expense for the full year is estimated at 12%. During the quarter, new student applications were down 12.5% year-over-year due to fewer inquiries, the elimination of certain underperforming territories, and a difficult comparison to a period with lower registration fees. As we gained some momentum with our marketing efforts and lapped the anniversary of the registration fee change in March, we saw 5% growth in applications compared to the prior year. What was most promising is that our adult channel grew 18% in the month with fewer inquiries and 27% fewer people. This suggests our marketing to generate higher propensity inquiries is working and our representatives’ productivity is improving. We now need to grow our inquiry volume. While one month does not make a trend, it does give us greater confidence that we are on the right path. For the quarter and as expected, our new student starts were down 12.9% year-over-year reflecting fewer applications written in prior periods. However, new student starts were slightly better than we had anticipated due to continued strong show rates. Our show rate was up 500 basis points compared with last year’s same quarter and is at a level we haven’t seen since the second quarter of 2012. This trend reflects the change in the registration fee, as well as our success in generating inquiries and applications from students with the highest propensity to start school and as important, keeping students engaged throughout the enrollment process. Based on the high school applications currently on the books and with continued growth from our adult channel, we anticipate new student start growth in the fourth quarter. As I mentioned, during my opening comments across all segments high school, adult and military, we continued to engage with students and their families to demonstrate that there is a good return on a UTI education and to minimize the perceived risk of financing school and to turn the student interest into action. This is more difficult than it sounds as students and prospects are looking for guarantees of a job and a salary in return for their educational investment. Of course, we cannot guarantee jobs or wages, which is why it is so critical that employers, who are ready to offer jobs to those who have a UTI education, are working with us to help prospective students and their families understand the type of career opportunity that awaits them. In our marketing materials and our employer hosted future tech events and during open houses at our campus, employers are making the case for UTI and the technician career pathway directly to prospective students. This motivates more students to enroll, to start school and graduate. Our military admissions team has established strong relationships at military bases across the country. We continue to help our veterans evaluate educational and career paths as they transition into civilian life. Many of the large employers we work with are dedicated to hiring our nation’s heroes. Together, UTI, its OEM partners and large employers are visiting our military bases to explain the opportunities available to skilled technician. Employers explain the opportunities they offer technicians and the type of support they will offer in terms of relocation expense, tools and sometimes tuition reimbursement. This work is just part of the focused effort to highlight our successful student outcomes and increase the positive perception of technical carriers in UTI, along with influencing the policies that regulate our work. We are working to build relationships on military bases and in high schools, with local and state businesses, as well as education and policies leaders. To educate them on what sets us apart from the for profit education stereotypes, as well as on the value we create for our students, local employers, the economy and the community. While this initiative is still young, we are encouraged by the early results in markets like Long Beach, where we have already developed strong advocates and student interests and the new campus is on pace for our enrollment goals. And our efforts to leverage employers as our advocates have been showing positive results in differentiating us from our competitors and others in the for profit space. Earlier this week, we announced the change in leadership in our admissions organization. I am very pleased that Sherrell Smith, our SVP of Operations, has assumed responsibility for the admissions function. Sherrell has significant experience in this industry, 20-plus years at our company and has previously successfully led our admissions team albeit in a very different regulatory environment. Although our results have not been what anyone would want in recent years, this change reflects more of what is needed to build on recent successes and to reinvigorate the engagement of all of those helping to drive our business forward. Full engagement and a laser focus is paramount in this environment and I know Sherrell will bring that type of leadership and energy to our admissions team, which is why I remain confident in our ability to grow applications and new student starts, specifically in our fourth quarter. And with that, I will turn it over to Eugene.
Eugene Putnam: Thanks again, Kim. While we are also continuing our efforts to manage the business efficiently and to reduce costs where appropriate, we believe our path to growth includes bringing our education to reach more students and markets. Construction is well underway and on schedule for our new campus location in Long Beach, which is scheduled to open later this summer. We have begun enrolling students to start upon opening and we are currently on pace to our plan. To-date, we have received the necessary approvals from both our accreditor and the State of California and are in the process of obtaining the final approval necessary for our new collision repair program. Pre-opening costs have impacted operating income in the first half of the fiscal year by approximately $700,000 and we anticipate operating income to be impacted in the second half in the range of $3.9 million to $4.3 million. We are also teaching our new state of the industry blended learning curriculum at our campuses in Avondale, Dallas, Sacramento, and now in Orlando and we have completed our expansion in Orlando to include diesel. And with limited marketing, the first two diesel programs are already at capacity. Our industry relationships continue to be a very important market differentiator for us and are becoming even more important in assisting students financially in the pursuit of their education particularly as demand for professionally trained technicians intensifies. As Kim mentioned, our newest agreement with Roush Yates reflects our ongoing work to expand, renew and extend these relationships. In response to the increase in demand for skilled CNC machinist, we are partnering with Roush Yates to develop a comprehensive machining and manufacturing technology program. CNC machining is widely used to make high precision parts for the transportation industry, but also in industrial applications such as aerospace components and medical and surgical equipments. The program will build on Roush Yates’ experience in the CNC machining area, which strongly differentiates it from competitive offerings and will prepare students to succeed as entry level machinists. We intend to offer the CNC program beginning in 2016 at one location in North Carolina with the opportunity to expand beyond that over the next several years. We continue to offer scholarships for our loan program and are approaching more employers and OEM partners to assist in sharing the UTI opportunity with potential students. Employers of our students are increasingly more willing to participate and describe the UTI opportunity in assisting students with paying for their education. As Kim mentioned, 8 of the 10 largest dealer groups in the country are now investing in UTI graduates to attract the professionally trained technicians they need. And these programs can include relocation assistance, signing bonuses, free or discounted tools and tuition reimbursement plans in various levels with some employers actually paying the entire cost of the students’ UTI education. Our loan program continues to help students that are well qualified to attend UTI, but have a gap in their financing after completing the financial aid packaging process. This year, we have extended approximately $11.2 million in loans under the program compared to $16.1 million in the same period last year. The average loan amount continues to be around $4,700. During the first half, we have recorded approximately $2.5 million in revenue and interest from cash payments received, which was up from $1.5 million last year due to a higher volume of loans and repayment, as well as some improvement in our collection rate. In addition to offering this program, we continue to offer both merit-based and need-based scholarships as well as scholarships for certain groups of students such as our military veterans. At the end of the quarter, approximately 36% of the students in school were benefiting from a scholarship or discount. These scholarships and discounts reduced tuition revenue in the quarter by 3.5%, which is basically flat from last year. And now, let me turn to the continued success we are seeing most importantly in our graduate employment. In the second quarter, our overall consolidated graduate employment rate was higher by about – trended by about 2 percentage points versus last year. All of our programs, with the exception of collision repair, experienced increases from last year’s employment rate and we also continue to see growth in overall starting wages for our graduates, reflecting the increased demand that we have been speaking about. And finally, as an update, in late April, the Department of Education was onsite to conduct a program review for our Avondale campus and additional locations of that campus. Their fieldwork was completed last week and covers a 2013/2014 and 2014/2015 award years. We anticipate receiving their initial report even though we have already had an exit interview in the next 75 days. Finally, let me take a minute to talk about our outlook for the remainder of the year. Although we have had a strong first half, our guidance for the full year remains relatively unchanged. We expect revenue to decline approximately 3% to 4% for the year. However, excluding the impact of pre-opening costs for our new campus, we expect to see year-over-year growth in operating income. We expect new student starts as well as our average student population to be down for the full year in the mid single-digits. And we expect to see year-over-year growth in both new student applications and starts in the second half with all of the start growth occurring in the fourth quarter. Capital expenditures are expected to be approximately $35 million for the full year. And as always, I will remind you that due to the seasonality of our business and normal fluctuations in student populations, you should expect to see volatility in our quarterly results. And now with that Dan, I think we are ready to open the line for any questions we might have.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Jason Anderson of Stifel. Please go ahead.
Jason Anderson: How are you doing guys?
Kim McWaters: Good.
Eugene Putnam: Good morning.
Jason Anderson: Just a question on the guidance then, so I think it’s pretty clear, but just the way it’s framed, we should probably see second half operating income, am I correct in thinking that should be down probably $8 million at the least, because it looks like your first half is up above that, so the second half should probably be down, I mean that would be including your investment costs?
Eugene Putnam: Are you saying down from last year?
Jason Anderson: Yes, versus prior year, year-over-year?
Eugene Putnam: Yes, if you included the Long Beach costs today laid out there of call it roughly $4 million that would be correct.
Jason Anderson: Great. Okay. Just want to make sure on that. I am intrigued by the employer outreach that’s going on and them getting involved in the front end of the process and you mentioned you are seeing some results there, is that impact – was that impacting the March start at all or the March numbers or is it still pretty early or do you see that having tangible benefits to actually getting seeing the starts or at least registrations happening?
Kim McWaters: I think it is very early in the process and did not necessarily drive the increase in the March applications. I do expect that it will help our students who are scheduled to start in the latter part of the year because employers are participating in the future Tech events and mid-year meetings and open houses and talking to students with their families’ presence – with their families present about the opportunities we discussed in the prepared remarks. So early on, excited about what’s to come and we will likely see some benefit of it in the starts in the second half of the year.
Jason Anderson: Okay. And then also on the machining program, can you give us any maybe flavor of like what’s the market opportunity look back there, I mean trying to get how big that that program area is and maybe what the competition is like or if there is much of it or not, I don’t know if you could maybe go into that at all?
Eugene Putnam: Well, it’s a little premature to talk about that and in terms of where we expect to expand into. But I think, clearly kind of in line with what we have done historically, employer demand is driving the need for this. And in fact, that’s why we want to open it in North Carolina because that’s where the early demand is. But I think there are clearly other parts of the country that need machinists. And I think the numbers are in the hundreds of thousands over the course of the next decade. So yes, there is competition out there. But I think with the Roush Yates name and more importantly with the level of precision that their programs lead to, that we think is a competitive differentiator.
Kim McWaters: If it’s helpful, there are about 397,000 machinists employed in the U.S. today and growth is expected of 9% between 2012 and 2022, to Eugene’s point.
Jason Anderson: Great, that’s very helpful. Thank you for taking my questions.
Eugene Putnam: Thank you.
Operator: Our next question comes from Jeff Silber of BMO Capital Markets. Please go ahead.
Jeff Silber: Thank you so much. I know it’s still a bit early in the process, but wondering if you are seeing any impact from the issues that Wyotech has been going through over the past few weeks and months?
Kim McWaters: Well, I think it’s certainly got people’s attention. We have felt it in the field, particularly in terms of access out at high schools as people react to the negative news and make certain that they are protecting their students. I think what we have been continuing to do throughout the last 5 years in this negative cycle is focus on building the relationships, encouraging people, whether it’s teachers, counselors, parents, administrators to come out to a campus, experience it, to talk to employers, to talk to graduates. And although it takes longer, typically we discover and they discover that we are different. And so I think what it’s done is just it slows things down and makes it more difficult, but ultimately, I believe we will stand apart.
Jeff Silber: Okay, great to hear. You mentioned your confidence that starts would be up in the fall because of the strength in your high school channel. Can you just remind us of your fall starts, roughly what percentage of your students come from that channel and roughly what you are expecting this year as well?
Kim McWaters: Well, in the fourth quarter, it’s predominantly high school students. So, I’d say probably in the 70% to 75% range. We do expect that we will see a higher percentage of the adult population given the traction that we are gaining with some of the marketing and efficiencies recently, but that is our strongest quarter in terms of starts and significantly higher. It’s typically more than double the size of another quarter starts. So, does that help?
Jeff Silber: Yes, no, it does. And then just a quick numbers question for Eugene, you mentioned I think it was the $1 million reversal in bad debt expense. I just want to double check that, that $7.8 million that you recorded in EBITDA, that’s including the benefit of that $1 million reversal, is that correct?
Eugene Putnam: Yes, it is.
Jeff Silber: Okay, great. Thanks so much.
Eugene Putnam: You are welcome.
Operator: Our next question comes from Peter Appert of Piper Jaffray. Please go ahead.
Peter Appert: Thanks. Good morning. So, Kim, just having a really hard time getting my head around the disconnect between this very robust employment environment you described of the demand dynamic you see in terms of the enrollment trends. So, is it about pricing? You think that’s the biggest issue in terms of your ability to overcome this issue?
Kim McWaters: I do not think it is about pricing. While certainly affordability is always a concern for students and families as they consider their educational investment and return on that investment, I think it is about access overcoming the negative headlines and trying to stand apart from the others. I think that is the biggest contributor to it from the high school side. And I think on the adult channel, it’s been complex and costly. And we have been trying different things to grow the number of inquiries. If you look at our conversion rates of the inquiries we are getting, it’s improving. And we are really focused on the things that we believe will drive a higher conversion rate to again translate student interest into student action. And that is helping the students understand that there are options in terms of paying for their education and that walking away from a low skill, low paying job is worth the risk. And that’s why getting the employers in front of students and their families is really important, because what students and their families want to hear, we can’t necessarily say. We are very careful to ensure that we stay within the compliance requirements and believe it’s probably best for students and their families to talk directly with employers in terms of the opportunities available for trained technicians. So, it’s just a more complicated environment and it takes longer. That’s it.
Peter Appert: Okay, fair enough. And then is it possible at all to quantify the financial support that employers are willing to give? So, for example, just any metrics you have percentage of students that are getting some assistance from employers, the order of magnitude of that assistance, something along those lines?
Kim McWaters: Well, let me just give you an example of what they are doing, because again it’s just getting off the ground in terms of the number of students, but some employers are taking the approach that they will make the student loan payments, let’s say, up to $300 a month and it will cap out at a certain amount over time. Others are willing to pay the entire tuition, provided the student is working for the employer and in good standing. So, it really does run the gamut depending on what the employer’s needs are and what the students’ loans are relative to their training. But this is just beginning to take off even though we have a number of examples where this has always been the case. Again, as we said earlier, it’s been marketed as students were coming out of school versus as they were considering schools and career paths.
Peter Appert: And would these programs be more applicable then to like a military person coming in or an adult rather than the high school student?
Kim McWaters: No. I think they are – in terms of the tuition reimbursement, it is more applicable to high school students and adults and relocation assistance and perhaps tools and those types of things are more applicable to the veteran population.
Peter Appert: Okay. And then I am sorry, just two more. One, do you have a number in terms of what the average starting salary is currently?
Eugene Putnam: It obviously differs by curriculum and whether or not a student has had manufactured – specific training. And so rather than getting all those specifics, I will kind of use the BLS day, the BLS day would suggest for our auto, which is our largest curriculum that those wages range from $28,000 to $32,000.
Peter Appert: Okay. And then Eugene, one more thing, in terms of the economics of Long Beach you gave us the start up costs this year, can you give us the roadmap to breakeven and profitability in Long Beach?
Eugene Putnam: It will be – from an accounting standpoint, it will be accretive to earnings next calendar year, I am sorry next fiscal year, 2016.
Peter Appert: Okay, alright. And then you had mentioned Allied – there is one more question. I think Kim had talked about new campuses plural, so what’s on the agenda beyond Long Beach in terms of timing and anything else you can tell us?
Eugene Putnam: Yes, she did say that and that was intentional. We were going to open Long Beach this summer with the first teach I think in late August. I would – we are doing some preliminary work for the next campus. I would expect further commentary on that towards the end of this calendar year. I don’t think it would open until late 2016, probably more likely 2017.
Peter Appert: Got it. Thank you.
Eugene Putnam: You’re welcome.
Operator: Our next question comes from Corey Greendale of First Analysis. Please go ahead.
Corey Greendale: Hi, good morning.
Eugene Putnam: Good morning.
Kim McWaters: Hi Corey.
Corey Greendale: So I have a few questions, I think since nobody had questions on your last call, we are all making up for it this time, so I apologize. So first of all – and also, I apologize I missed the beginning of the call, so if any of this is redundant, my apologizes, we can follow-up offline. But first of all, did you give the change in applications for the quarter as a whole?
Kim McWaters: We did. Our applications for the quarter were down 12.5% across all channels – I am sorry, that was our – yes. I want to make sure I wasn’t giving starts. Applications down 12.5%, starts were down 12.9%.
Corey Greendale: Okay. So and I gather, if you just look at the application trend over the last four quarters, that’s actually the best I think in the past four quarters, but it’s bad, it’s negative at 27%. So it’s not intuitive from looking at that actual starts are going to go positive in a couple quarters, so – and you have commented on the high school, but can you just comment a little bit more on kind of the level of confidence given the data that you are seeing that, that will happen?
Kim McWaters: Yes. And if you missed the first part of the call Corey, maybe I could just reiterate that as we move through the quarter, we started to see even better momentum. And in March, we actually saw 5% growth in applications. And what we were most, I guess excited about was the growth in the adult channel, it was up 18% year-over-year on fewer inquiries and with 27% fewer people, which gives us confidence that our marketing is working, as well as the productivity and efficiencies with our representatives. So now we will continue to invest in the marketing that is working to grow that. And if you think about the adult channel typically they tend to start sooner within a couple of months versus the high school that could take up to nine months. When you look forward to the fourth quarter and the students that have already registered that are high school graduates that we feel strongly about that especially given the strong show rates and the continued improvement we have seen throughout the year. So, it’s a combination of high school students on the books as well as the momentum being gained with the adult channel.
Corey Greendale: Okay, that helps. Thank you. And then in the interest, I don’t know if you are willing to elaborate on the guidance at all, but in the interest of trying to set expectations, looking at where the applications have been over the last few quarters, that would suggest you have a similar negative, I would think, start number in Q3. On the other hand, the year ago start was particularly negative, negative 24%, I think so you have an easy comp. Could you just help us think through those things? Just set order of magnitude of what you expect the decline to be in Q3?
Eugene Putnam: Well, I am not going to give you order of magnitude, Corey, but Q3, I would expect to be down a little bit and Q4, up a little bit percentage wise, but obviously, with Q4 having a much heavier load starts, the net of those two is if you saw in the second half together is positive growth.
Corey Greendale: Okay. And given….
Eugene Putnam: But just to give you some level of magnitude, I don’t want anybody walking out thinking that we are going to see double-digit growth in the second half of the year, that’s not what we are forecasting, but we do expect to see year-over-year growth.
Corey Greendale: Okay. Now, I do appreciate that. And if that plays out as you expect and let’s just say, Q1 of fiscal ‘16 is also slightly positive on starts. Does the math suggest that you should get back to total average enrollments in positive territory by Q1 or Q2 of next year?
Eugene Putnam: We are not quite that far yet.
Corey Greendale: Alright. Well, you can’t ding me for trying. And then a couple of other quick things, on the military and again I apologize if this was covered. I heard today that you are going to the military bases to kind of build the relationship. I seem to recall there was a time when access to the military bases wan an issue, not just for you, but for everybody, but where does that stand?
Kim McWaters: Well, the access is still an issue. There have been rules put into place in terms of the frequency of visits, but again I think that the relationships that we have our longstanding.. For example, in Fort Bliss, we have a representative who has been out there nearly a decade and at Fort Hood, 5 years. So, they know these people out there and they are working with them to help the veterans. So, it may not look exactly like it did a couple of years ago, but the partnership is there and I think the relationships with the military is improving. We are excited about an articulation agreement that we are working on with them to recognize the veterans who are coming out with diesel training and to articulate with them so that they can test out of some of the courses being school for shorter period of time and of course lower their tuition costs and get to work. So, the thing that I described with the employers being engaged, taking these employers out to the bases and getting them in front of the veterans who are transitioning out is so needed. So, many of our veterans are unemployed. And today, we have got 5,000 open jobs and a lot of veterans without a job. So, they are interested in talking to us.
Corey Greendale: Alright. It makes a lot of sense. And actually my last question is similar, which is in the employers the fact that they were able to help more, so I understand you are going to the military bases and that makes a lot of sense, because the veterans are leaving active duty and there is an opportunity to go to UTI. I just want to understand a little bit better. How the message about employers being willing to help is getting to potential students? Is it like people already employed and there is a note in the break room saying if you can get a degree or is it – are you telling people already in the pipeline that it’s an opportunity so it’s improving conversion rates or how is the message getting conveyed?
Kim McWaters: Sure. That is a great question, because what you described is what had been happening previously as students were nearing graduation. Of course, employers would come on campus and talk about the opportunities available for them upon graduation. Now, they are out in the field with our representatives, whether it’s at high schools, military bases or events being held at their dealership or place of work to talk about the opportunities that are available and what their commitment is. So, we now have formal marketing materials that they are using to get into the hands of prospective students and their families about what they will do as an employer to support them getting a UTI education and coming to work for them. So, it’s far more formalized. They are being more open in terms of putting that in writing. Again, the materials that can be given to students and they are willing to be on camera and give testimonials about what it is they are looking for and how willing they are to support them. So, it’s a dramatic difference inside of the year with the focus on employers and their needs.
Corey Greendale: It makes a lot of sense and thanks for taking all my questions.
Kim McWaters: Thank you.
Eugene Putnam: Thank you.
Operator: [Operator Instructions] Our next question comes from Barry Lucas of Gabelli & Company. Please go ahead.
Barry Lucas: Thank you. Good morning. Eugene, not to quibble here, I just want to understand. I think you said you are still waiting cost approval for collision program at the new school. Is there something new there or why wouldn’t that have been granted with the other programs?
Eugene Putnam: So, it was at the state and accreditor level. Since it’s a new program in that OPID, it needs – even though we teach it in other locations, it needs Department of Ed approval, where the auto and diesel programs did not meet an approval. They just need accreditor and state.
Barry Lucas: Okay, thanks for the clarification. I would say little more generally, but understanding all the negative publicity that this industry has gotten and the press reports about the demise of Corinthian, and including Wyotech in California. Why wouldn’t you go out and be a little bit more proactive and to some extent capitalize on being the good citizen and trying to make some accommodations for those students that have suffered a terrible dislocation?
Kim McWaters: Well, I think we are being a good citizen and offering to help where it makes sense for these students. Certainly, some of the locations that we are speaking about are not within close proximity to our campuses, but to the extent we can help them. We have certainly made the offer and have reached out. I think we are doing all that we can and should in this environment to help.
Eugene Putnam: Yes, just to add to that, we were, this week, asked to be present and we are present at the two Wyotech California campuses, not in a way to recruit students, but to provide where our locations are, what our programs are just as informational as they go through their process of determining what to do with the continuation of their education. So, we are there, shared our information with them and made ourselves available to them should they want to follow up.
Barry Lucas: Great, thanks very much for that.
Eugene Putnam: You are welcome.
Operator: Showing no further questions, I would like to turn the conference back over to Kim McWaters for any closing remarks.
Kim McWaters: Thank you, Dan and thank you all for joining us today. We appreciate your questions and your time and interest in Universal Technical Institute. We look forward to updating you on our third quarter, the first week of August. Have a great day and a nice weekend.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.